Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Fourth Quarter 2015 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question and answer session. Instructions will be given at that time. [Operator Instructions] Safe Harbor language. This conference call contains forward-looking statements within the meaning of section 21-E of the Securities Exchange Act of 1934 as amended relating to the Partnership's future business expectations and predictions and financial condition and results of operations. These forward-looking statements involve certain risks and uncertainties. The Partnership has listed some of the important factors that could cause actual results to differ materially from those discussed in such forward-looking statements which are referred to as cautionary statements in its earnings press release, which can be viewed on the company's website. All subsequent written and oral forward-looking statements attributable to the Partnership or persons acting on its behalf are expressly qualified in their entirety by such cautionary statements. I would now like to turn the conference over to our host, Vice President and Treasurer, Davin D'Ambrosio. Please go ahead. 
Davin D'Ambrosio : Thank you, Scott, and good morning, everyone. Welcome to Suburban's fourth quarter and fiscal 2015 full year results conference call. Joining me this morning is Mike Stivala, our President and Chief Executive Officer, Mike Kuglin, our Chief Financial Officer and Chief Accounting Officer, Mark Wienberg, our Chief Development Officer and Steve Boyd, our Senior VP of Operations. The purpose of today's call is to review our fourth quarter and fiscal 2015 full year results, along with our current outlook for the business. Once we've conclude our prepared remarks, we will open the session to questions. However, before getting started, I would like to reemphasize what the operator has just explained about forward-looking statements. Additional information about factors that could cause actual results to differ materially from those discussed in forward-looking statements is contained in the Partnership's SEC filings including our Form 10-K for the fiscal year ended September 26, 2015, which will be filed by on or about November 25, 2015. Copies of these filings may be obtained by contacting the Partnership or the SEC. Certain non-GAAP measures will be discussed on this call. We have provided a description of those measures, as well as a discussion of why we believe this information to be useful in our Form 8-K which was furnished to the SEC this morning. The Form 8-K will be available through a link in the Investor Relations section of our website at www.SuburbanPropane.com. At this point, I would like to turn the call over to Mike Stivala for some opening remarks. Mike?
Mike Stivala : Great. Thanks, Davin, and thank you, everyone for joining us this morning. After a slow start to the fiscal year resulting from near record warm temperatures during the first quarter, we finished the year strong with three consecutive quarters of year-over-year earnings growth. Operations across the country endured very and degrees of operating challenges, whether it was another year of unseasonably warm temperatures, drought conditions and wild fires in our West Coast operations, or erratic temperatures and harsh winter storms in our East Coast and Midwest territories. I am extremely proud of the efforts of all of our dedicated employees who maintain their focus on the areas within their control delivering exceptional customer service, while continuing to execute on our integration plans. In addition, during fiscal 2015, we succeeded in accomplishing many significant goals. To highlight just a few, as we stated on our last quarterly earnings call, our efforts to integrate the former Inergy Propane operations are essentially complete and we have achieved or exceeded our expectations including reaching our goal of $50 million in cost synergies during the first three years. This includes installing a common operating model across the entire platform and migrating to one brand. Also we successfully refinanced our previous 7 3/8% Senior Notes due 2020 with new 5 3/4% Senior Notes due 2025 which effectively extended maturities on this portion of debt by five years and reduced our cash interest requirement by more than $4 million annually. We increased our cash position by approximately $60 million during the year resulting in cash on hand of approximately $152 million at fiscal year end. We made enhancements to our technology platform to drive additional operating efficiencies and to enhance our customers’ ability to interact with us. We increased our annual distribution rate by $0.05 per common unit to an annualized rate of $3.55 per common unit, which equated to a 1.4% growth rate since the end of last fiscal year and also represented our 30th increase since our 1999 recap. And we also announced a shift in organizational responsibilities within our senior leadership ranks including the creation of a new role of Chief Development Officer to be 100% focused on growth initiatives. These are all steps that set us up both operationally and financially to be successful in achieving the next phase of growth for Suburban Propane and our unitholders. A little later, I’ll provide a few closing remarks, however, at this point, I’ll turn the call over to Mike Kuglin to discuss our full year and fourth quarter results in a little more detail. Mike? 
Mike Kuglin: Thanks Mike and good morning everyone. I will start by focusing on our full year results, and give a little color on the fourth quarter towards the end of my remarks. To be consistent with previous reporting, I am excluding the impact of unrealized non-cash, mark-to-market adjustments and derivative instruments used and risk management activities which resulted in unrealized gains of $1.9 million in fiscal 2015, compared to an unrealized gain of $300,000 in fiscal 2014. Additionally, net income and EBITDA for fiscal 2015 included several charges are excluded from the calculation of adjusted EBITDA. Specifically, we recorded a loss on debt extinguishment of $15.1 million associated with the refinancing of our 2020 senior notes, $11.5 million in expenses related to the integration of Inergy Propane, and $11.3 million charge for the voluntary partial withdrawal for multi-employer pension plan covering certain employees acquired in the Inergy Propane acquisition; and a pension settlement charge of $2 million. Net income and EBITDA for fiscal 2014 include a loss on debt extinguishment of $11.6 million associated with the refinancing of our 2018 senior notes and integration-related expenses of $12.3 million. Therefore, excluding these items, as well as the unrealized mark-to-market adjustments on derivative instruments in both years, net income for fiscal 2015 would have improved to $122.4 million or $2.02 per common unit, compared to $118.1 million or $0.95 per common unit in the prior year. Adjusted EBITDA for fiscal 2015 was $334 million, compared to $338.5 million for fiscal 2014. Retail propane gallons sold in fiscal 2015 of 480.4 million gallons decreased 50.3 million gallons, compared to 530.7 million gallons in the prior year. Sales of fuel oil and other refined fuels decreased 7.2 million gallons to 41.9 million gallons, compared to 49.1 million gallons in the prior year. The fiscal 2015 heating season started with a seasonally warm temperatures throughout much of the first quarter, especially during the month of December, which was one of the warmest on record, the remainder of the heating season was rather in consistent, but included a late burst of very cold weather in our Eastern and Midwestern service territories. With respect to our West Coast operations, we experienced another year of sustained warmer than normal temperatures throughout the year with average temperatures that were 23% warmer than normal and 9% warmer than the prior year. Overall, average temperatures across our entire service areas were 2% warmer than normal and 5% normal than the prior year. From a commodity perspective, propane prices declined rather sharply during the first quarter of fiscal 2015 and continued to trend down for the remainder of the fiscal year primarily due to sustained record or near record high US propane inventories. The movement in commodity prices in fiscal 2015 was a start contrast of prior year when prices rose rapidly due to industry-wide supply in logistics challenges, particularly during the peak of the fiscal 2014 heating season. Overall, average posted prices for propane were 52.7% lower than the prior year and average fuel oil prices were 35.5% lower than the prior year. The sustained period of lower commodity prices has been a favorable development for the consumer and propane distributors alike. Total gross margins of $821.7 million for fiscal 2015 were $35.5 million lower than the prior year of $857.2 million, primarily due to lower volumes sold offset to an extent by slightly higher unit margins. Excluding integration-related expenses, as well as the other charges in fiscal 2015 that I previously mentioned, combined operating and G&A expenses of $487.7 million for fiscal 2015 were $31 million or 6% lower than the prior year, primarily due to operating efficiencies and synergies realized as a result of the continued integration of Inergy Propane including lower payroll and benefit-related expenses, a reduction in vehicle costs and lower bad debt expenses. The decrease in bad debt expense compared to the prior year was a result of our efforts to remain diligent about managing our receivables as well as from lower average customer balances stemming from lower selling prices and lower consumption. Total capital spending for the year was $41.2 million, compared to $30.1 million in the prior year. The increased level of capital spending was primarily attributable to upgrades to our information systems, as well as tank purchases to support new customer activity and expansion of relationships with certain existing customers. And our rebranding efforts associated with the Inergy integration. With the integration effectively behind us, we expect overall capital spending levels will moderate back to more historical levels going forward. Turning to our fourth quarter results; due to the seasonality of our business, we typically report a net loss in the fourth quarter. With that being said, we reported a net loss of $67.1 million or $1.11 per common unit for the fourth quarter of fiscal 2015, compared to a net loss of $54.7 million or $0.90 per common unit in the prior year fourth quarter. As I discuss the quarterly results, I am excluding the impact of unrealized non-cash mark-to-market adjustments on derivative instruments used in risk management activities, which resulted in an $180,000 unrealized loss in the fourth quarter of fiscal 2015 compared to a $402,000 unrealized loss in the prior year fourth quarter. Additionally, net income and EBITDA for the fourth quarter of fiscal 2015 included $6.4 million in expenses related to the integration of Inergy Propane, and $11.3 million charge related to the voluntary partial withdraw from a multi-employer pension plan and $2 million pension settlement charge I referenced in relation to the full year results. Net income and EBITDA for the fourth quarter of fiscal 2014 included $3.2 million in expenses related to the integration of Inergy Propane. Therefore, excluding these items and the effects of unrealized non-cash mark-to-market adjustments on derivatives derivative instruments in both quarters, net loss for the fourth quarter of fiscal 2015 would have improved to $47.2 million or $0.78 per common unit, compared to $51.1 million or $0.84 per common unit in the prior year fourth quarter. Adjusted EBITDA for the fourth quarter of fiscal 2015 improved to $6.7 million compared to $4.5 million for the fourth quarter of fiscal 2014. Retail propane gallons sold in the fourth quarter of fiscal 2015 amounted to 68.5 million gallons, a decrease of 7.5 million gallons compared to the prior year fourth quarter. Sales of fuel oil and other refined fuels decreased 900,000 gallons to 4.5 million gallons in the fiscal 2015 fourth quarter. Total gross margins of $116.9 million for the fourth quarter of fiscal 2015 were $3.2 million lower than the prior year fourth quarter. Excluding integration-related expenses as well as the other charges in the fourth quarter of fiscal 2015, that I previously mentioned, combined operating and G&A expenses of $110.3 million decreased $5.4 million of 4.6%, compared to prior year fourth quarter. Turning to our balance sheet, the declining wholesale cost environment experienced during the fiscal 2015, compared to the rising and elevated wholesale cost environment in the prior year resulted in a significant reduction in our working capital requirements which contributed to a year-over-year increase of $98.7 million in cash generated from operating activities. During fiscal 2015, we once again funded all working capital needs from internally generated cash without a need to borrow into our credit facility. Our liquidity position remains strong with $152 million of cash on hand at the end of the fiscal year and availability of approximately $254 million under our revolving credit facility. Back to you, Mike.
Mike Stivala: Thanks Mike. Just a brief comment on our quarterly distribution; as announced in our October 22nd press release, our Board of Supervisors declared our quarterly distribution of $0.8875 per Common Unit in respect to the fourth quarter of fiscal 2015. This equates to an annualized rate of $3.55 per common unit. The quarterly distribution was paid on November 10 to our unitholders of record as of November the 3rd. To close on our thoughts on this past year, through good planning and excellent execution over the course of the past three years, we have achieved the goals we set out to accomplish in integrating Inergy Propane into the Suburban model. By restoring our balance sheet strength along the way, we are well positioned to execute on our growth initiatives both internal and external. Internally, we will continue to fine tune our operating model and cost structure to maximize efficiencies and the earnings potential of the existing platform. Externally, given the sustained depressed commodity cycle, and volatility in both debt and equity markets, we believe that additional opportunities will become available both within the propane space, as well as in other energy-related sectors that can complement or supplement our current cash flow profile. As you know, we remained patient and disciplined in our approach to M&A. As we look ahead to fiscal 2016, with the heavy internal focus on integration now behind us, our dedicated workforce is committed to delivering the highest level of safety standards and exceptional customer service in every market we serve and to focus more of their attention on retaining and growing our customer base. Finally, with the recent volatility in the equity markets, particularly for MLPs, our valued unitholders should take comfort in the sustainability of their distributions from Suburban. Given the strength of our balance sheet and distribution coverage, and the more than $152 million of cash on hand. And as always, we appreciate your support and attention this morning and at this point, I’d like to turn the call over for questions and Scott, if you can help me with that?
Operator: [Operator Instructions] We have a question from Sharon Lui with Wells Fargo. Please go ahead. 
Sharon Lui : Hi, good morning. 
Mike Stivala : Hi, Sharon. 
Sharon Lui : Hi, so, I guess, weather is just starting out much warmer than normal in October already, but, I guess, propane and fuel prices are much lower. Can you maybe just talk about, I guess, your expectations for the upcoming heating season? And if there is some measures that you plan to take to optimize your gross margins if weather turns out to be warmer?
Mike Stivala : Well, certainly, you are right. The heating season has started out warmer than normal. I think, in virtually all parts of the country, people can attest to the fact that October end, frankly the fist couple of weeks of November here, it’s been unseasonably warm. So, we expect – obviously, it’s early in the heating season. There is a lot more to go. Weather in December, January and February are really the key months for the propane industry. I am not in a position to try to predict weather. As far as prices go, I think it’s safe to say that, given the levels of propane inventory nationwide, now we are reaching record levels of inventory over 102 million barrels on hand, which is more than 50% of the five year average. I think it’s safe to say that all else being equal, prices are likely to remain on the lower side, which I think is generally good for the customer and it’s also good for the propane operators. As far as your comment on anything we are going to do with margins to offset, no, there is no specific steps that we would take to try to beef up our margin profile just to cover a potential shortfall in volume from weather. Our focus is on making sure that our customers are comfort and safety and that we deliver the best value for the offering that we give to our customer base. We are not in the business of trying to take advantage of a customer when the volume or the weather doesn’t cooperate. So, our best opportunity is just to become – just to continue to be the best value provider in the markets. 
Sharon Lui : Okay, all right. That’s helpful. I was just thinking more in terms of some expenses that could be deferred like part-time workers or just staffing, trying to optimize from that perspective? 
Mike Stivala : For sure, Sharon, I mean, you know us well enough. We know how to manage our expenses, particularly in relation to weather. We don’t sit here and pray for weather. If the weather comes, we take advantage of it. If the weather doesn’t come, we know how to flex our cost structure to protect the level of earnings that we believe is sustainable for the long-term. So, absolutely, we have plenty of levers whether it’s seasonal employees, whether it’s the flexible nature of our – some of our compensation. It’s – there is plenty of activities that would typically – would bring into play to help manage the overall bottom-line. 
Sharon Lui : Okay, and then, just one question on the integration expenses. So the fourth quarter figure accounted for about half of the full year number. Was that just a function of timing of doing some of the integration functions during the off-heating season? And do you – what’s the potential to extract additional cost synergies above that $60 million going into year four?
Mike Kuglin: With respect to the charges in the fourth quarter, yes, it was little bit elevated from prior quarters. And it was due to timing of activities that give rise to triggering the charge. A good portion of the charge was actually- it was non-cash related as a result to reflective writing x down to their fair value. But the trigger them in the course is the blending activities that give rise to the charge. As far as the synergies, we did achieve our $50 million synergy target, as far as giving guidance to any incremental synergies above and beyond that, it’s not something that we would do. 
Mike Stivala : Yes, I think it’s safe to say, Sharon, that, we are excited about the opportunities of the combined platform as we always have been, but more so from the perspective of our ability to continue to grow our customer base and really deliver the best in total value, and we are excited for getting all the internal activities behind us, because frankly, it’s a bit of a distraction. And so, as far as moving forward from here, we will continue to manage the business as you know we can, which is to continually drive more operating efficiencies, manage the cost structure in relation to the volumes, but what we are most excited about is getting outside of the integration now and interacting more with the marketplace that fits to grow our customer base.
Sharon Lui : Okay, thank you.
Mike Stivala : Thank you, Sharon.
Operator: [Operator Instructions] We do have a question from Brian Brungardt with Stifel. Please go ahead. 
Brian Brungardt : Hi, good morning guys and thanks for taking my questions here. 
Mike Stivala : Sure, thing, Brian. How are you doing?
Brian Brungardt : Good. So, I guess, as we look into fiscal 2016, could you provide some color on kind of what opportunities that you see externally, specifically, any update with Mark’s position as Chief Development Officer?
Mike Stivala : I think, we’ve been pretty active. We’ve been very active. Mark has been on the road very busy. I think it’s safe to say that there is a lot to be determined over the next 12 to 18 months as the commodity cycle that we are in seems to continue to persist and as levels of inventory and production continue to be at this elevated levels, it certainly seems us though there is going to be a lot of opportunities that shake out from some of the midstream players that are looking to fix their balance sheets or sustain themselves for the long-term, whether that’s monetizing specific assets or just looking for – looking to be taken out frankly. So, right now, I think it’s a little quiet. Although I think, we – our expectation is that, over the next 12 to 18 months, there is going to be lots more opportunities that get flushed out. In the mean time, we do have a couple of active things that we are working on right now. And we continue to look within the propane space for good regional players to bolt-on to our existing platform in good markets and I think we have a couple of opportunities in that space as well. So, it’s a good balance of looking to add to the propane markets in good regions for us. And paying attention to what this seems to be shaking out in the midstream space with all of the turmoil that a sustained commodity cycle such as this is going to shake out. So, stay tuned. 
Brian Brungardt : Got you and appreciate the color there. When you look at potential deal size, is there – I guess, how should we be thinking of – how you would look to fund purchases or what would be your ideal purchase size?
Mike Stivala : Well, I think funding-wise, we like to stay within a 50-50 split if we can with that in equity, that’s in an MLP, it’s kind of the ideal funding scenario, particularly with – to maintain our balance sheet strength. So you can continue to have some dry powder for the next deal. As far as deal size goes, it’s tough to say, I mean, it depends on the deal. So, I hate to predict a specific deal size, because I don’t know exactly what the deal is. We will look at a deal on its own merit and if it’s worthwhile and it can add value to our unitholders for the long-term, then we will take a hard look at it and take a hard run at it. And if that means it’s a $500 million deal or a $1 billion deal, then so be it. As long as it’s a meaningful step that fits with our strategic criteria which is to identify businesses that provide us with a more stable cash flow profile, less weather-dependent with a good growth path ahead and given – depending on the size of the business that also has a good management team that can come with it. I mean, those are our main criteria in how we evaluate good opportunities for us to complement the propane business. 
Brian Brungardt : That is all I have and again thanks for all the color. 
Mike Stivala : Great. Thank you, Brian. 
Operator: [Operator Instructions] There are no further questions at this time. 
Mike Stivala: All right, well, Scott, thank you for your help today and everybody, thank you for your attention and support as always, and we look forward to talking to you again in February and happy holidays to all of you. 